Operator: Greetings, and welcome to the NCI Building Systems Fourth Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Layne de Alvarez, Vice President, Investor Relations. Thank you. You may begin.
Layne de Alvarez: Thank you. Good morning and welcome to NCI Building Systems call to review the company’s results for the fourth quarter of fiscal year 15. The company’s fourth quarter results were issued last night in a press release that was covered by the financial media. In keeping with SEC requirements, I advise that during this call, we will be making forward-looking statements that involve risks and uncertainties. Actual outcomes may differ materially from those expected or implied. For a more detailed discussion of the risks and uncertainties that may affect NCI, please review our SEC filings, including the 8-K filed last night. Forward-looking statements speak only as of the date they are made. We undertake no obligation to update any forward-looking statements beyond what is required by applicable securities laws. In addition, our discussion of operating performance will include non-GAAP financial measures. A reconciliation of these measures with the most directly comparable GAAP measures is included in the earnings release and the CFO commentary, both of which are available on our website. At this time, I would like to turn the call over to NCI’s Chairman, President and Chief Executive Officer, Norm Chambers.
Norm Chambers: Good morning, everyone, and welcome to our fourth quarter 2015 conference call. Joining me this morning are Mark Johnson, our Chief Financial Officer; Todd Moore, our General Counsel; and Layne de Alvarez, our Vice President of Investor Relations. Our fourth quarter earnings were released last night, so I hope you have had a chance to review the results. I will open the call with a few brief comments before I hand over to Mark, who will offer some color on our fourth quarter financial performance and we will be happy to take your questions. I am very pleased to report that our fourth quarter financial performance was the result of focused execution across our commercial, manufacturing and supply chain groups. The fourth quarter marks the sixth consecutive quarter of year-over-year improvement in gross profit margin and adjusted EBITDA, which was the objective of the reorganization of our business over the past two years. The flattening and removal of silos in both our manufacturing and commercial organizations enabled a level of collaboration, communication and team work that continues to drive the meaningful improvement in our ability to overcome headwinds that we may face at any given time. We achieved our best financial performance since 2008, delivering a 56% year-over-year improvement for the fourth quarter and adjusted EBITDA, despite lackluster economic conditions, low-rise non-residential construction activity that decreased year-over-year and steel prices that continued to decline to pricing levels not seen since 2003. In the process, we expanded our adjusted EBITDA margins by 310 basis points as we took advantage of the operating leverage created by volume increases, driving greater capacity utilization. The significant contributors were our buildings and legacy component brands, which generated a sequential Q4 volume increase of 14.4%. Even more important, year-over-year volume growth from the same contributors was about 12%. These improvements generated pre-tax cash flow of $124.7 million. I am proud that team's dedication for not only taking effective actions to overcome challenges and deliver results, but more importantly to elevate our focus on safety. We continue to see opportunities to improve our performance on all fronts and we are moving to do so. Now, before Mark dives into the numbers, I would like to share some thoughts about fiscal 2016. We will continue to work on expanding our margins via commercial discipline, manufacturing efficiencies and supply chain contributions. As we get closer to our double-digit EBITDA margin goals, we may see some slowing in the growth rate. As we mentioned during our third-quarter call, we will move ahead to further optimize our manufacturing footprint over the next 12 months to 36 months. We expect to reduce our manufacturing cost structure for an annual run rate benefit of between $15 million and $20 million, which has the potential to improve capacity utilization by as much as 20%. That of course will lead to even better leverage in margins. We expect the choppy market conditions will continue in 2016, given the lukewarm growth in the current economic cycle. The leading indicators that correlate most closely to the actual volumes in low-rise new construction starts are the ABI mixed-use index, residential new starts and the leading economic indicator. When taken together, these point to a modest growth for low-rise construction in 2016. Regardless, it's worth repeating that we remain committed and focused to growing faster than low-rise market and achieving year-over-year improvement quarter-by-quarter in order to maximize the earnings that will support share price appreciation for the benefit of all stakeholders. Now, Mark will take you through the fourth quarter numbers.
Mark Johnson: Thank you, Norm. As a reminder, we have provided a review of our fourth quarter financials in both, the earnings press release and the CFO commentary posted on our website. I will now take a few minutes to add some additional color to those results. Adjusted net earnings for the quarter beat the street consensus and were better than the prior year's results. The key drivers of these improved results are both, margin improvement and volume growth as we continue to realize the positive results of improved manufacturing and logistics efficiencies, combined with improved supply chain effectiveness and solid commercial discipline. Also, contributing to margin growth was a profitable sales mix of architectural and insulated metal panels. Our gross margin expanded by approximately 310 basis points during the quarter and our adjusted EBITDA was at the highest quarterly level since 2008. Our reported net income in the fourth quarter was $18.2 million or $0.25 per diluted share compared to $14.1 million or $0.19 per diluted share in last year's fourth quarter. Both years were impacted by a number of special items both positive and negative. The last year's special items were not material in total. I will now take a few minutes to review those items incurred in our fourth quarter, which are reconciled in the tables accompanying the release. First, on an after-tax basis, we realized $2.3 million in gains from various legal settlements. These gains however were more than offset by after-tax charges of $4.6 million for restructuring and impairment actions, $0.7 million of acquisition-related costs. Finally a $1.4 million short-lived intangible asset amortization expense related to our CENTRIA acquisition. We have now completed the full amortization of the short-lived intangible assets related to CENTRIA, and will not see additional short-lived intangible amortization expenses going forward. Similarly, we will see progressively lower non-operating acquisition-related costs in the first half of 2016, as our initial integration activities are nearing completion. Speaking for a moment now to the impairment costs included in the special charges just mentioned, during the fourth quarter, we completed the development of plans to improve cost efficiency and optimize our combined manufacturing capabilities considering our recent acquisitions and restructuring efforts. A non-cash after-tax impairment charge of $3.6 million was recorded to reduce various affected asset to their net realizable value. Excluding the impact of the various special items that I outlined, the company's 2015 fourth-quarter adjusted net income, a non-GAAP measure, were $22.7 million or $0.31 per diluted share. Now to our operating results, in the 2015 fourth-quarter, our consolidated revenues increased by approximately $67 million or 17% from the same period last year. The CENTRIA acquisition contributed $58 million of this growth. The year-over-year revenue improvement in our legacy businesses was driven by strong sales of buildings, components and insulated metal panel products. It should be noted that while underlying volumes were up 9% in our Buildings group and 15% in our legacy components group, revenue growth rates were dampened by the pass-through of lower steel cost, which have declined approximately 20% over the prior year period. We estimate that the decline in steel costs resulted in a decline in reported revenue ranging somewhere between $20 million and $23 million as compared to the prior year quarter. Despite the muted effect on revenue growth, the underlying volume growth is notable given that non-residential new construction square footage in the U.S. declined 6% year-to-date as of October in the most recent Dodge report. Within this report, low-rise starts are growing at a much slower rate than mid and high-rise projects, and as you know our revenues are highly correlated with the low-rise market. While we are therefore outpacing the market in terms of volume growth, our top-line performance would have been even better if it had not been impacted by a rapid decline in steel prices on top of the week market. Despite these headwinds, our adjusted operating income in the fourth quarter improved by about $18.7 million, a 75% increase over the prior year's quarter, reflecting our growth in underlying volumes, margin expansion and supply chain gains as well as a $3.7 million contribution from CENTRIA. Similarly, adjusted EBITDA also rose by about $20 million during the quarter, an increase of 56% from the same period last year. Also, driven by improved gains, growth in underlying volume and incremental contribution from CENTRIA of about $6.2 million. New booking rates have been choppy during the year with total annual year-over-year growth of 4.3%. However, in the final quarter of the year, buildings bookings declined modestly, yet customer sentiment remains positive and quoting activity is good. Nevertheless, our buildings backlog excluding IMPs, ended the year 13% higher than a year ago period, including CENTRIA, our backlog was $494.5 million. I want to add a quick comment on our free cash flow generation before I move on to discussing our balance sheet. We define pre-tax free cash flow as adjusted EBITDA minus net capital expenditures, plus or minus changes in working capital. During the 2015 fiscal year, we generated $124.7 million in annual pre-tax free cash flow, which was more than three times what we generated in 2014. This growth is reflective of the strong growth in EBITDA for the year and strong working capital management. Now a brief look at some items on our balance sheet. We ended the year with a strong cash balance. As of November 1, 2015, we had cash of approximately $99.6 million compared to $66.7 million at the end of fiscal 2014. During the fourth quarter, we paid down another $10 million of long-term debt and during the year we repaid just over $41 million. Our net debt leverage ratio at the end of the fourth fiscal quarter improved to 2.7 times from 3.5 times, sequentially, and we are now approaching our goal of reducing our net debt leverage ratio to the pre-acquisition level of 2.2 times. Turning to our outlook, we did outperform the low-rise construction markets and delivered material year-over-year improvements in both, gross margin and adjusted EBITDA during our fiscal 2015. Our internal strength should be supported by positive indicators in the macro environment, the leading indicators for non-residential construction activity continued to indicate modest growth moving into fiscal 2016. We continue to remain focused on delivering sustained margin expansion and increasing levels of profitability by leveraging our manufacturing supply chain and commercial initiative while streamlining our cost structure. As we enter our 2016 fiscal year, we have a strong backlog that benefited from an increase in bookings for higher-margin architectural and insulated metal panel. As the New Year starts unfolding, we continue to streamline our operations, eliminate redundancies and combine capabilities to best align with our customer opportunities for the foreseeable future. We currently anticipate delivering the seventh consecutive quarter of year-over-year improvement in gross profit margin and adjusted EBITDA in the fiscal first quarter of 2016. In addition, we expect first-quarter revenue to be up 10% to 15% on a year-over-year basis and our gross margins to range between 22.5% and 24%. These ranges take into consideration the seasonal aspect of our business as we enter the slower part of the construction cycle and the typical disruptions in the winter weather. Finally, on the whole, we expect 2016 to be a better year than 2015 in terms of both, gross margin and EBITDA. Now, operator, I will turn the call back over to you for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Lee Jagoda with CJS Securities. Please proceed with your question.
Lee Jagoda: Hi. Good morning.
Norm Chambers: Good morning, Lee.
Lee Jagoda: Good morning.
Norm Chambers: First question for Mark, just in your revenue guidance for Q1 what is the steel price decline assumption year-over-year?
Mark Johnson: Well, we are sitting at a point where steel prices are about 20% lower than they were a year ago. I do not see that materially changing for us in the first quarter, so I estimate it is about $15 million impact on revenue.
Lee Jagoda: Okay. Then if I look at all your commentary, in your CFO commentary regarding gross margin, how much does the increase in volumes play a part in that 300-plus basis point increase in gross margin versus the other factors you call out in the commentary, and how should we think about incremental gross margin leverage from here given this is the first time since I think Q3 of '08 that margins have been near these levels.
Mark Johnson: Well, certainly the increased volumes we had during the fourth quarter are important, because they drive significant operating leverage. We do anticipate seeing incremental volumes over the prior year and that is a significant contribution to the guidance we are giving for Q1.
Norm Chambers: You know, Lee, we really need to stay very cautious, because of the choppiness of the market and while sentiment is very good among our customers and quoting activity is good, we still need to stay on the side of caution.
Lee Jagoda: Okay. One more for me and I will hop back into queue. With regard to the free cash flow, is the free cash flow you generated this year indicative of the potential for the business going forward or are there other working capital or CapEx changes that need to be addressed with the incremental volumes that you would expect?
Mark Johnson: Certainly, incremental volumes do generally utilize working capital. We had incremental volumes in 2015, and we generally expect incremental volumes in 2016, so there will be a use of working capital. It is probably worth commenting on the impact that steel prices have on working capital, so declining steel prices do free up dollars from inventory and as transactional prices are lower it does free up working capital out of receivables. We did have some tailwind during 2015 as a result of the decline in steel prices. It is probably on the order of $15 million to $20 million impact. Depending on the direction of steel prices for 2016, that could reverse course.
Lee Jagoda: If steel prices were going to stay where they are today, would it still be an incremental benefit to you in fiscal '16?
Mark Johnson: No. It would not be an incremental benefit from this point.
Lee Jagoda: Okay.
Mark Johnson: It would be neutral.
Lee Jagoda: Okay. I will hop back in queue. Thank you.
Operator: Our next question comes from the line of Mike Dahl with Credit Suisse. Please proceed with your question.
Mike Dahl: Hi. Thanks for taking my questions. Just to start I wanted to go back to the bookings comment and around just the choppiness had been growing. You termed it a modest decline in 4Q. I wanted to see if you could add a little more color on both, magnitude of that and also if there was any specific and any channel or sector that was driving that weakness in bookings.
Norm Chambers: One of the things we are seeing Mike is that the ABI mixed-use index, really foreshadowed a softening in bookings that we that we saw, so it was consistent with that index and that index turned negative some months ago. It has been positive and continues to be and that kind of coincides with the level of quoting activity and the sentiment, which really has remained quite strong. I would say that we think that the level of activity in bookings will improve in the next a month or so.
Mike Dahl: Okay. Thanks. Then shifting to the restructuring, so obviously this has been something that the whole team and the new team has been working on and wanted to get a sense of you know a little more granularity around what is involved here, is this the extent of the restructuring that you are now planning or is this still kind of step one or two and you will kind of evaluate as you go on whether there is more, so just you know how many plants are involved? Is it as easy as saying if you tell us that, this could improve utilization by as much as 20% that you are reducing 20% of your footprint or just how to think about this and the extent there.
Norm Chambers: Yes. This is the plan we alluded to. These are the costs for that plan as we see them now. I do not want to go into detail about the specifics other than to say we have a very definitive plan that we have been working on throughout this year. We are going to execute to that at an appropriate time in rate and the benefits are very important to us. Again, I do not want to say a whole lot more, but other than it is a definitive plan and we are going to move ahead on it.
Mike Dahl: I guess just following up, anything on cadence of the benefits? I mean, the 15 to 20 over 12 months to 36 months. Should we think about straight-lining that? Is it front-end loaded back-end loaded?
Norm Chambers: I think the way to think about it Mike is that in the next quarter or two as we speak about what we are doing, we will be able to get some indication of how we are tracking on that number. Okay? We would rather talk about it kind of after we do it, but it is clear that we put that number out there, because that is where we are going.
Mike Dahl: Okay. Thank you.
Norm Chambers: We will move there as quickly and as sensibly as we can.
Mike Dahl: I got it. Thank you.
Operator: Our next question comes from the line of Trey Grooms with Stephens. Please proceed with your question.
Drew Lipke: Good morning. This is Drew Lipke on for Trey. Good quarter guys.
Norm Chambers: Thank you very much.
Drew Lipke: The first, kind of going back to the choppiness, so I am curious do you feel like builders and your customers have somewhat caught up from the weather delays that we saw at the beginning of the construction season. It seems like we would have seen more a consistent increase in terms of just activity levels in square footage growth if there really was this just kind of pent-up demand in the pipeline and it does not feel like we have really seen that, so I am curious if it was truly weather delays or do you guys think that maybe had something more. Then kind of on those same lines, your backlog continues to grow at a very nice clip organically, but we are still not seeing that conversion into revenue quite yet, so how should we be thinking about where backlog stands today and just kind of the conversion as we look into the fiscal '16?
Norm Chambers: Certainly, we saw the conversion in terms of volumes. As I said, our volumes were up from our legacy businesses by 14%, sequentially, and...
Todd Moore: …12%
Norm Chambers: That is right, 12% on a year-over-year basis, so we are quite pleased with the volumes there. With regard to the bookings we, you can imagine when we look at this very carefully on a weekly basis and it is clear to us that our builder network has been very busy in the fourth quarter. It continue to be busy. Our sense is that when we look at the pipeline of jobs, specifically, in the quoting activity, we are very confident that we are going to see bookings kind of come back to a level that would be more consistent with the ABI index that foreshadowed the softness that we have seen and is foreshadowing a recovery as well in the near-term.
Drew Lipke: Okay. Then October, November have seen some heavy rainfall across the Southern U.S. Northeast have been pretty dry. Can you talk about any trends that you guys have seen I guess here over the last [ph] or so?
Norm Chambers: I got to tell you, this is one of the reasons why I start up the script the way I did, because I have been around here a long time. I have never seen as reaching point that our commercial operating team's supply chain could be able to work as effectively as they did to overcome the headwinds and deliver results. This is the first time in my 12 years I have seen an operation run as smoothly and as consistently and as disciplined as our teams did this year. This is not a one-time event. This is the way we are operating. It does not guarantee a whole lot other than we have good operational skills and we feel that we can better deal with headwinds than we have ever been able to deal before.
Drew Lipke: Okay. Then just final one for me, lower steel prices impacting revenue $20 million, $23 million in the quarter. You guys talked that it shifted product mix a little bit. I am curious on the 240 basis points of the supply chain effectiveness that you call out and then the commercial discipline. How much of that is, you benefiting from better buying power and how should we think about just sort of the puts and takes there as we look into fiscal '16 and the sustainability of this benefit?
Norm Chambers: To be sure, leaving aside the commercial discipline that Don Riley and the team have really demonstrated with great effect. John Kuzdal, the manufacturing folks and Dan Ronchetto on the supply chain side are really in lockstep in terms of uncovering and taking advantage of a whole host of advantages that we do have whether it would be transportation improving that, whether it is our buying, it is whether is our management of our inventory across the whole piece. It is a function of all three parts of our business that makes us happen. The commercial guys having better insights in the materials we need and when we need them, the supply chain doing great job of delivering that and John Kuzdal and the team doing a fabulous job of manufacturing.
Drew Lipke:
Drew Lipke: All right, thanks Norm.
Norm Chambers: Yes.
Operator: Our next question comes from the line of Robert Wetenhall with RBC. Please proceed with your questions.
Robert Wetenhall: Hey, good morning.
Norm Chambers: Good morning.
Robert Wetenhall: I just wanted to ask, Norm, I wanted to understand a little bit better than narrative that you were talking about in your prepared remarks. It is obvious a solid quarter. In your outlook, you kind of gave what I would qualify as you know a restrained view of 2016. You used the words choppy twice and used the word cautious, so you know I was trying to frame this in my mind and it sounds kind of like tough conditions with good execution. Is that a fair way to frame it up? I mean, you are uncharacteristically somber on the outlook and I am just trying to understand that in the context and is it kind of like you are doing your own self-help initiatives inside to drive profitability in spite of this, but it is tough to fight against the overall trend. How should we be thinking about this?
Norm Chambers: Yes. Exactly as you just spoke about it.
Robert Wetenhall: Okay. In terms of I am just trying to understand you got a large backlog, how is the backlog spread across three businesses.
Norm Chambers: The backlog is just for the buildings group.
Mark Johnson: It is predominantly the buildings group, but we do have the insulated metal panel product in their as well in the total backlog.
Norm Chambers: Yes. The total backlog of nearly 500 million is, it includes a CENTRIA in the IMP piece and the building, but the buildings is spread pretty nicely. We have got quite a good spread of activities. We are seeing, as we have alluded to a couple of times, larger types of projects both, that we have in our backlog and that which we are working on that hopefully get into our backlog and that gives us the bigger jobs as you know, Bob, kind of extend out a bit, but we generally still turn our backlog in six to nine months.
Robert Wetenhall: Okay. What are you guys expecting in '16 on a volume basis for low-rise non-res construction? Is it low single-digit, is it mid-single digit growth? How should we try to think about that kind of on a volume-driven side?
Norm Chambers: We are really firmly in the view it is going to be 3% to 5%. Dodge is at about 9% and our view is, if Dodge is right, god bless them. We will be as can be, but we know we are gearing for an economic slow recovery and thus growing it out.
Robert Wetenhall: Got it. Maybe, Mark, could you touch on the EBIT contribution and the rev contribution from CENTRIA in the quarter and kind of what is going on with that?
Mark Johnson: Sure, so with CENTRIA, I think, I mentioned it in my earlier comments, the EBIT contribution was about $3.7 million and the EBITDA contribution was about $6.7 million in quarter, so CENTRIA from a strategic standpoint and from insulated metal panel aspect is performing very strongly. The international parts of CENTRIA which are a small part but are meaningful earnings contributions are extremely weak for CENTRIA, so from that perspective that would be lower than what we would have expected from CENTRIA about a year ago.
Robert Wetenhall: Okay. Obviously, to your comments, Mark, steel prices have been hit really hard this year. It does not seem like the trend is reversing. How do we think about the impact of lower steel prices, especially if they can continue declining on profitability in each of the segments? I mean, we know revenues are going to move lower and that seems like a pass through, but how does this impact profitability? Is basically like you guys retain a stable margin in spite of and that is the value-added component of NCS or am I not thinking about that the right way?
Norm Chambers: I think you have got a really good model to look at in terms of the segments performance in 2015. You know that was in a marketplace of decline that we think could possibly continue into 2016. What that does drive though, it does drive the fact that we and our competitors in the industry have an offering that that really looks good comparing to traditional types of materials, so we would hope to see some pickup in the competitive advantage that we all have in regard to steel prices that are no lower.
Robert Wetenhall: Does it affect pricing in the sense that how you measure commercial discipline, because you guys referenced that in your press release. How do you balance commercial discipline versus lower steel prices when you think about that?
Norm Chambers: We have different offerings. We, in the components group have thousands of SKUs and we look very closely at value pricing when we can. We have really a very, very sophisticated competitive test approaching in the buildings group that is very mindful of the advantages that we have in our express buildings, which are very quick turn and we are very good at. We look at the value we add on the high complexity work and try to value price that. Then we stay as competitive as we can in that mid-range. The marketplace is very competitive. Our competitors are very strong, but at the end of the day the kind of performance we had in 2015 is really the kind of operation performance we expect to have.
Operator: Thank you. Our next question comes from the line of Matt McCall with BB&T. Please proceed with your questions.
Matt McCall: Thank you. Good morning, everybody.
Norm Chambers: Good morning.
Matt McCall: I guess, help me understand your volumes, I think you said 9% buildings, 15% components, yet start were down. I think you said mid-single digits. That was year-to-date number. I do not know if something has changed more recently, but can you help me understand that disconnect and is something going on in your markets where your markets are growing stronger or you are just taking share. Help me understand the disconnect there.
Norm Chambers: We really are not in the share gain. We really want to stay very focused on the value we bring, but I think we could be seeing. It is hard to tell, but we could be seeing what I spoke about to Bob, who had called just a second ago that the lowest fuel prices are making our products more competitive against other more traditional forms of construction that could be part of it. I think that the other thing that is really critical and sometimes underplayed is the importance of the quality of our delivery of our products to our customers. Our ability to do that and meet their schedules and that relationship with our dealers and customers is critical, so I think it is a combination of things, but nevertheless we are very pleased with what we were able to do in the volume side and we will continue to look for opportunities where we can get value pricing and move that along.
Matt McCall: Norm on the restructuring, you talked about one to three years, 12 months to 36 months, can you talk about what would make it one year, what would make it 36, if am I understanding that the right way? Is it dependent upon the pace of your demand improvement? What would cause it to be length, you know, the benefit to be lengthen after three years?
Norm Chambers: Part of it is just making sure that whatever steps we take are executed perfectly and executing perfectly means that all of our systems in terms of IT systems and in terms of support and thoroughness of making sure that the capacity and the equipment is brought up to speed effectively and doing that at a pace that is consistent with understanding that we have a seasonally strong period of the year that we want to make sure that were not having disruption by doing things like optimizing plants. We want to get that done during the slower seasons, so we will see just how quickly we move. As I said, it is a clear plan, it is definitive. It has a schedule, which we are not sharing with the public and we will talk about it after we do it and we will be able to kind of keep track of how we are doing on that number I put out.
Matt McCall: Taking into account the cost savings, when you point to your double-digit EBITDA margin target and you have got the new cost savings, it is going to be layered in, what revenue level do we need to see to see 10%-plus EBITDA margin.
Norm Chambers: It is interesting when we look at a quarterly like the fourth quarter and the third quarter and we look what extra volumes do for us. You know it probably is more on the volume side than it is on the dollar side. It is how we can leverage up that volume both in terms of our commercial discipline and pricing it for value as well as our manufacturing and supply chain for efficiencies and very strong cost focus.
Matt McCall: Okay. All right, thank you, Norm.
Operator: Our next question comes from the line of Alex Rygiel with FBR Capital Markets. Please proceed with your questions.
Alex Rygiel: Thank you and good morning.
Norm Chambers: Good morning.
Alex Rygiel: Norm as it relates to the $15 million to $20 million of annual savings from the actions to optimize some of your manufacturing capacity. Have you included any of that in your sort of use on gross margin in the near-term?
Norm Chambers: No.
Alex Rygiel: When we think about your views on gross margin in one 1Q of '16 being flat to up 150 basis points, is that a similar range that I know you do not have annual guidance out there, but kind of is within the realm of possibility for your annual view or would you expect annual view to be a little bit higher or lower?
Norm Chambers: Well, as I said earlier, as we ramp up and comp back on a year-over-year basis, we would expect to probably see some slowing, but knowing that that we are comping back against better numbers as we get up to double digits you know we are doing everything we can to try to have the best growth rate we can, so I think that the way it plays out is that we want to do everything we can to quarter-on-quarter improvement and to be able to measure that and you guys see it.
Alex Rygiel: Then - missed this, but could you quantify the negative impact on backlog a bit lower steel prices had?
Norm Chambers: I do not think I did quantify that, but steel prices are roughly 20% lower than they were year ago, and steel prices broadly speaking are about 50% of our revenue, so many 10%.
Mark Johnson: Sure. I think that is a fair guess.
Alex Rygiel: Great. Helpful. Thank you very much.
Norm Chambers: Thank you.
Operator: Our next question comes from the line of Scott Schrier with Citigroup. Please proceed with your question.
Scott Schrier: Hi. Good morning. Nice quarter.
Norm Chambers: Good morning.
Mark Johnson: Thank you very much. I wanted to ask you about your building margins. They seem to be the highest that they have been in quite some time, and I would think that some of that is attributed to the value pricing and higher complexity projects you do and that was higher complexity projects that take longer or booked a while ago before steel prices declined, so you would have an incremental benefit from that. I wanted to know at this point, how is the bidding activity or are your customers expecting lower pricing as a result of that and how does that impact your outlook on the margins going forward?
Norm Chambers: Yes. I mean, it is clear that as I spoke about the advantage that we and our competitors should have in terms of being able to displace traditional forms of construction materials. You know that is based on having lower cost that the value of what we are offering can comparatively advantage us against other forms of construction, so that does not negate the fact that if we continue and have commercial discipline and be very focused on end markets-specific situations, the advantages we have in express buildings, we believe the very good position we have a high complexity work as well, that there are opportunities for us to add more value and capture some of that value and that is what we try to do every day.
Scott Schrier: Got it. Then with your current backlog, how do you predict capacity utilization going forward, and is there room there to fill up your plans with more possibly lower margin work?
Norm Chambers: That is a good question. We certainly are very mindful of our express buildings and the opportunity that gives us to backfill at any given time, because that is very quick turn work and the team is really very good at that they are taking advantage of that at any given time, so you know that forms a part of our strategy for sure.
Scott Schrier: Got it. Then one last one on coaters, it seems that you have reversed the trend. You had some marketing compression for most of the year and it looks like, you had quite a bit of expansion this quarter year-on-year. If I understand the steel hedge correctly, does not the steel hedge impact coaters negatively [ph] what was going on there?
Scott Schrier: Yes. It does. Again, the important thing to know about the coaters group is that we consume about 50% of the output internally. Therefore, we really have the team, Dan Happel and his team, they are very focused on the right customers, the right level of value we can bring to them and really being very selective about who we add to our customer list rather than chasing volume as we were a couple of years ago, which was frankly mistake and we are going continue that way, so we are less concerned about the top-line and more concerned about how we are adding good customers to complement the fact that we are advantaged because of the internal demand that we have and that effectively enables us to cover all the fixed costs of the coating group by our internal needs, so we want to be really selective on how we approach our third-party sales.
Scott Schrier: Okay. Thank you. Appreciate you taking my questions.
Norm Chambers: Yes.
Operator: [Operator Instructions] Our next question comes from the line of Brent Thielman with D.A. Davidson. Please proceed with your question.
Brent Thielman: Hi. Thanks. Good morning.
Norm Chambers: Good morning.
Brent Thielman: Just a clarification on the Q4 bookings decline, is that across the board in terms of markets you serve or was it in some very specific areas?
Norm Chambers: It was pretty much across. As we have talked about before, you know, we are very diversified. Our markets spread across all aspects of the economy and we do not have any one of our end markets as even approaching 5% of our backlog or revenue and I will say that when I look at the backlog decline it is pretty much across most things. Again, it was it was foreshadowed very, very aptly by the ABI index when it so below 50, some months ago. Of course that has recovered and we are seeing at this time level of quoting activities really very good, we are seeing lots of work in the marketplace. I think as that moves along we will see and I am sure our competitors - will that bookings improve.
Brent Thielman: Sure. Appreciating bookings could be pretty volatile quarter-to-quarter, you mentioned this good level of quoting activity, is there a way we can think about where that is at relative to last year or last few years in terms of quotation activity?
Norm Chambers: You know it is a little difficult to do that, but I will say that from the perspective of us trying to have a balanced approach to the future, we take into account the economy is still very weak. It has a volatility to it that would impact us. Nevertheless, we would expect that as the bookings activity follow from the quoting activity and the opportunities in the marketplace will get our share of work and we will do the best to make money with that.
Brent Thielman: Okay. Then in terms of the capacity consolidation initiatives, and then more - it is going to come out in the next few quarters, is this going to have the potential to maybe shrink your geographic exposure to some extent in terms of market you serve or still expect to be kind of national player here?
Norm Chambers: No. Absolutely will do the opposite, it will improve our coverage of our customers. That is one of the reasons why we are taking this on. It improves our supply chain and it improves our responsiveness to our customers.
Brent Thielman: Okay. Then just on insulated panels, I do not think we had talked too much on that. Any markets where you are seeing accelerated penetration there, successes, just would love to hear kind of how that particular product line is progressing.
Norm Chambers: Yes. I got to tell you that I am really happy with our insulated metal panel team on the whole. We have seen the CENTRIA folks really move the dial on terms of the high-end architectural piece. They are doing a great job, they seeing the Metl-Span folks really being focused and pushing their products in both, the cold storage and the industrial and commercial institutional piece. You know, we have seen our internal sales continue to grow 20% or more, which is a great thing because that means we are getting traction through our distribution channels and we expect that to continue and still expect that the insulated metal panels will play an increasingly larger role in both, our revenue and our bottom-line.
Brent Thielman: Excellent. Thank you.
Operator: Our next question comes from the line of Sam McGovern with Credit Suisse. Please proceed with your questions.
Sam McGovern: Hi guys. Thanks for taking my question. Just on the free cash flow, as you guys get down towards your target debt leverage, any update in terms of what you are planning to do with that? How much for acquisitions, debt, buybacks or even trying to get a little bit below that target level?
Norm Chambers: Yes. We anticipate that we will get to the pre-acquisition leverage ratio maybe by the end of this upcoming year. We anticipate that during the year, we will pay probably no less than $40 million down additionally on our debt and the use of our free cash flow other than that debt reduction which is our primary focus at the moment and in the near-term, is something that we consider every quarter and we have very strong conversations with our Board and we are very strategic with the use of that excess free cash flow, so as that thought process develops we will be glad to share that with you.
Sam McGovern: Great. Thanks so much. I will pass along.
Norm Chambers: Thank you.
Operator: Our next question is a follow-up question from Trey Grooms with Stephens. Please proceed with your question.
Trey Grooms - Stephens: Hey, Norm, this is Trey.
Norm Chambers: Hey, Trey.
Trey Grooms - Stephens: Congrats on a good quarter.
Norm Chambers: Thank you, sir.
Trey Grooms - Stephens: Hey, I just wanted to see if you guys could give us a little color update with all of the changes you guys are making and/or expected to make over the near-term, which is going to lead to increased profitability obviously. How should we be thinking about kind of your take on the kind of mid-cycle or earnings potential EBITDA potential or targets that you guys might have out there for the business?
Norm Chambers: I tried to tone down my aspirational speak, but you know we still have the same goals. We think that at mid-cycle trajectory as we have had for the last six quarters continues to I think underscore the opportunity. Certainly, the mid-cycle recovery has been pushed out, you know? This year it looks like volumes will be negative to flat even they are adjusted, so at the end of the day we are still doing everything we can and double-digit EBITDA is a key component that, Trey, and that is what we are focused on my friend.
Trey Grooms - Stephens: Okay. In that range of minus, Norm, it seems like it was - now that we have got CENTRIA and everything, should we be thinking somewhere in that you 250 [ph] range from a mid-cycle? How should we be thinking about? I just cannot recall the exact numbers. We have had some moving pieces over the last year or two.
Norm Chambers: Yes. We have had some moving pieces and that is a safe bet.
Trey Grooms - Stephens: Okay. Thanks a lot, Norm. I really appreciate it. Good luck.
Norm Chambers: Thank you.
Operator: We have reached the end of the question and answer session. I would now like to turn the floor back over to Management for closing comments.
Norm Chambers: Listen, thank you very much for joining us on the call, and I look forward to reporting in the first quarter. Thank you.